Operator: Ladies and gentlemen, thank you for standing by. Welcome to AptarGroup's 2013 Fourth Quarter Conference Call. [Operator Instructions] Introducing today's conference call is Mr. Matt DellaMaria, Vice President, Investor Relations. Please go ahead, sir.
Matthew DellaMaria: Thank you, Jonathan, and welcome, everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our quarterly performance. Bob will then discuss our financial results in greater detail, after which we'll open it up for questions. Information that will be discussed on today's call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup's SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our website. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference over to Steve.
Stephen J. Hagge: Thanks, Matt, and good morning, everyone. Yesterday, we reported a strong finish to the year. Broad-based increases in demand for our innovative dispensing solutions pushed sales to a record level for the fourth quarter. Sales were up in each end market we serve. Bob will go over some of those market growth numbers in a few minutes. Equally encouraging, we grew sales in each geographic region. We also reported strong earnings of $0.69 per share before restructuring charges and the impact of new French tax regulations that were enacted at the end of December. The guidance we gave for the fourth quarter of $0.62 to $0.67 per share also excluded any potential impact from these 2 items. I'd like to give a few brief comments on each business segment, and then I'll turn it over to Bob. Our Beauty + Home segment continues to lead the industry in innovative dispensing solutions for the beauty, personal care and home care markets. We reported good sales growth in the quarter for this segment, but profitability is still not where we would like it to be. Sales grew in each region, however, we continue to see softness in the U.S. that contributed to sub-optimal operational conditions. In addition, weakened currencies in Latin America and Southeast Asia and facility start-up costs in Latin America had negative effects on the results of our Beauty + Home segment. I'm confident that we're on the right path to improved profitability as we navigate these challenges, and our European restructuring initiatives will help improve overall profitability for this segment. We also have a good level of new project dialogue with our customers. In the quarter, we participated in several new product launches across the fragrance and skin care application fields. We also saw an increase in the orders in Latin America for a variety of our dispensing systems for use on branded sun care products. It was also an active quarter for our gift and promotional systems, including our flat sampling systems for fragrances and cosmetic creams and our mini pumps. Turning to our Pharma segment, which had another excellent quarter. Sales increased in each of the markets served by this segment. In the prescription market we saw good growth in the allergy and pain application fields. In the consumer health care market, demand was up in the decongestant and nasal saline application fields, and demand continued to be strong from the injection market for our Aptar Stelmi products. Segment income increased over the prior year and overall profitability was driven by the strong sales volumes in the quarter. We participated in several new customer product introductions in the quarter in both the nasal and pulmonary delivery route categories. One interesting pharma development worth noting is Sanofi-Aventis' decision to make their successful prescription-strength nasal allergy product called Nasacort available over-the-counter in the U.S. beginning here in 2014. Just as we've been the supplier on the prescription version, we're also supplying the over-the-counter version as well. And now looking at our Food + Beverage segment. This segment had a good quarter with strong product sales and increases in custom tooling sales. Demand was strong in both the food and the beverage markets. We continue to successfully penetrate different categories, and our customers continue to demand the cleanliness, ease of use and the flow control that our dispensing systems and fueling technologies provide. Segment income increased in the quarter, but profit margins were negatively impacted due in part, due to the increased tooling sales and higher personnel costs as we've guided key positions to support our global growth. It was another active quarter in terms of new product launches in both the food and beverage markets. In the food market, Unilever's Hellmann's product launched a new inverted package for their flagship mayonnaise product in North America, with our dispensing closure and flow-controlling silicone valve. In the beverage market, Pepsi extended their Tropicana package into a larger 118-ounce family size, after the success of their 89-ounce package. Our hinge closure with proprietary bonded aluminum to plastic, or BAP Technology, continues to deliver increased consumer convenience in the orange juice category. And speaking of the BAP Technology. I'd like to take a minute to recap the transaction that was mentioned in our press release. For the past few years Aptar has had a nonexclusive license agreement for the sealing and tamper-evident technology. We're confident in this technology's potential, and the minority equity stake that we purchased in the fourth quarter enabled us to secure an exclusive global license. This technology is used today on a variety of our food and beverage closures, but it also has the potential to be deployed in other markets. Looking back on the year 2013. Even though we started off slowly and faced some challenges throughout the year, our teams stayed focused on our customers and how best to help them grow their businesses. There were market challenges in Europe and the U.S., but we're able to navigate through those and our results improved as the year progressed. This was the first full year after the Stelmi transaction, and we couldn't be more pleased with how this business has performed and how smoothly the integration has gone. We also made significant progress on our European restructuring initiative. It was a huge effort on the part of the many individuals in our organization, and I want to thank our people for their efforts. We finished the year with upward momentum and we achieved record annual sales of just over $2.5 billion. Each segment grew sales over the prior year. Earnings were also strong when we exclude the charges related to our restructuring and the impact from the French tax regulation change that occurred at the end of December. With our strong cash flow, we're able to continue to allocate capital to enhance shareholder value. We spent approximately $119 million on share repurchases and paid another $66 million in dividends to shareholders. Now as we look ahead into 2014, we expect improved results in the first quarter compared to the prior year. However, the challenging currency environment, especially in Latin America and Southeast Asia, is expected to continue, and we're facing higher tax rates compared to a year ago. In 2014, we'll maintain our ongoing efforts to control costs and improve production efficiencies in all of our businesses. In addition, I'm encouraged by the level of project dialogue we have with customers across each of our segments and our efforts to drive growth in new application fields. At this time, I'll turn it over to Bob, who will review some of the details behind our recent financial results.
Robert W. Kuhn: Thank you, Steve, and good morning, everyone. As Steve mentioned, we had a strong quarter with reported sales increasing 12% to a record fourth quarter level. On a constant currency basis, our core sales increased 10% in the quarter, with each segment posting increased core sales. Our fourth quarter earnings per share guidance did not include any costs from our restructuring plan, which equaled $0.05 per share, nor did it include any negative effects of the recently enacted French tax regulations, which totaled $0.10 per share. So on a comparable basis to our guidance, excluding these items, we earned $0.69 in the quarter. This compares to $0.57 in the prior year when charges related to the restructuring plan, also $0.05 per share in the prior year, are excluded. Free cash flow, which we define as cash flow from operations less capital expenditures, was approximately $50 million in the quarter compared to $75 million the same period a year ago. The decrease in free cash flow was primarily due to an increase in working capital in part due to the strong sales growth in the quarter. On a gross basis, debt to capital is approximately 25%, while on a net basis it is roughly 11%. We paid $16.5 million in dividends in the quarter, representing $0.25 per share. Regarding our share repurchase program, we spent approximately $38.6 million to repurchase 600,000 shares in the quarter. This brings the remaining balance of shares authorized for repurchase to approximately 4 million. Now let's turn to market details by business segments. Our Beauty + Home segment's core sales increased 6% over prior year. Looking at our markets on a constant currency basis compared to the prior year, sales to the beauty market increased 6%; sales to the personal care market increased 9%; and sales to the home care market increased 4%. Our Pharma segment's core sales increased 12% over the prior year. Looking at our markets on a constant currency basis compared to the prior year, sales to the prescription market increased 10%; sales to the consumer health care market increased 23%; and sales to the injection market increased 8%. Our Food + Beverage segment's core sales increased 24% over the prior year. If we exclude the effect of higher tooling sales, product sales actually increased 17% over the prior year. As we look at the 2 markets served by this segment, the increase in custom tooling sales compared to the prior year was nearly all in the beverage market. On a constant currency basis, sales to the beverage market increased 35%. However, if we excluded the impact from the increased tooling sales, product sales to the food market increased 20% and sales to the food market increased 17% with little tooling impacting. Looking at the annual results. Our reported sales for 2013 grew 8%. On a constant currency basis, and excluding Aptar Stelmi sales from the first half of this year, our core sales increased 4%. Regarding earnings per share, when you exclude the negative impact of approximately $0.17 per share from our European restructuring plan and the $0.10 impact from the change in French tax regulations, we earned $2.79 per share for the year. This compares to $2.52 per share in the prior year when we exclude charges from the restructuring plan of which, again, were $0.05 per share last year and transaction costs and nonrecurring purchase accounting adjustments related to the Stelmi acquisition collectively about $0.09 per share. We also generated free cash flow in the year of $134 million, which is a decrease of $6 million from last year's free cash flow. Regarding our European restructuring plan, the costs associated with this plan are substantially complete now and totaled approximately $19 million. We expect savings to be in the area of $10 million to $12 million on an annualized basis. Looking forward, we expect depreciation and amortization for 2014 to be in the area of $160 million and that capital expenditures will be approximately $190 million, and that includes the Stelmi expansion project that we mentioned earlier in 2013. I would like to point out that these amounts could vary depending upon changes in exchange rates. We believe our effective tax rate for 2014 will be in the range of 33.5% to 34.5%, and we currently estimate that diluted earnings per share for the first quarter of 2014 will be in the range of $0.65 to $0.70 per share compared to $0.64 per share in the prior year when the negative impact from charges related to our restructuring plan, or $0.05 per share, are excluded from the prior year results. At this time, Steve and I will be glad to answer any of your questions.
Operator: [Operator Instructions] And our first question comes from the line of Al Kabili from Macquarie.
Daniel Moran - Macquarie Research: It's actually Danny Moran, on for Al. Just moving back to your earlier comments on Beauty + Home. What would you say is the primary driver of the softness? Is it mostly volume or are you seeing some price pressure?
Stephen J. Hagge: The majority is actually volume for us coming back in, but we are seeing price pressure in different parts of the world. And again, we have to look at Beauty + Home where it's really a very different game depending on where we're playing. We've had a very strong operational result in Europe in 2013. Our softness has been mostly in the U.S. And again, I think the other side that has impacted us is our start-up cost of operations in our new Colombian facility that is going on in Latin America and some moves we are making on plants in Brazil. But overall, I'd say it is mostly of volume issue in terms of the softness rather than it is a price issue.
Daniel Moran - Macquarie Research: Okay. That's helpful. And then switching gears to Stelmi. You mentioned in the past that Stelmi did not have much price increases, and this is an area you were looking at as you move further down the integration phase. As we look to this year, do you anticipate any positive pricing from Stelmi?
Stephen J. Hagge: What we had -- first of all, I think it's important to note that we've done quite a bit in terms of pricing looking at the products. And in some of the growth that we're talking about in that Stelmi product line of around 15% on a year-on-year pro forma basis is partly pricing. So I think when you look at that, we're going to continue to look at pricing going forward. But again, we're not going to have that same impact on the terms of the year-on-year as we did -- in '14 as we did in '13.
Daniel Moran - Macquarie Research: Okay. And then last question just on your CapEx guidance. Just a clarification, does this still include about $25 million for Stelmi?
Robert W. Kuhn: That's correct, Danny, yes. That's -- we're expecting that $26 million to essentially hit in 2014.
Operator: Our next question comes from the line of George Staphos from Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I guess the first question I had. Could you update us on how the Stelmi capacity add and investment cycle is going for you this year? And then second question unrelated. Can you parse out what, if any, weather effect was in the fourth quarter year-on-year, with it being a more severe winter, and what, if any, cushion you're building into the first quarter for that? Realizing that's probably more art than science, guys, but I wanted your thoughts there.
Stephen J. Hagge: George, let me come back and try to deal with the Stelmi side. First of all, in terms of the normal capacity expansion, we've been doing capacity expansions throughout 2013. Let's call it on an incremental smaller basis. So a large project we did that we announced in the second quarter, which is roughly $26 million in capacity, that we're just now going to be doing in 2014. So we've had very little impact in terms of capital spend on that in '13, most of that will be in '14. And we're just now starting to bring on personnel to be able to deal with that side. So the majority of that will be a 2014 event. If you look at weather for us, other than some operational issues of getting people to the plants and stuff during some of this Midwest weather, I don't think we had material impacts in terms of weather in the fourth quarter. So I don't think there's going to be a huge difference between the fourth and the first quarter, as a result of the weather issue.
George L. Staphos - BofA Merrill Lynch, Research Division: Do you think, perhaps, that maybe it's benefited you in terms of your pharmaceutical business? Those growth rates were better, in fact, than normal. Do you think you had the benefit of any stronger-than-normal cold season or not really?
Stephen J. Hagge: I don't think there's much in there, George. I mean, we've had good allergy. One of the things I think is important that we talked about a year ago, we were starting to see some inventory destocking from some of our generic products here in the United States, that now, we've crossed that year and we're probably much more -- today we are very much more on a year-on-year normalized basis. So that had a plus. What I am, I brought up in my comments though, I think the Nasacort issue for us is also going to be a plus as we see certain of these allergy products now potentially going over the calendar, which I think in the short term anyhow should be an advantage for Aptar.
Operator: Our next question comes from the line of Ghansham Panjabi from Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Can you just touch on the emerging markets? You called out foreign exchange as it relates to a negative variance and that will probably continue into the first quarter as well. But just in terms of underlying demand, have you noticed any meaningful change? There seems to be a lot of worries about Latin America, Turkey and other parts the world?
Stephen J. Hagge: A couple of things on that. First, I'll let Bob touch a little bit on the currencies because that is an impact with us. But if I look at our demand, we've actually had pretty good demand and even in the fourth quarter, we were -- in Latin America, year-on-year we were up 11% on a common -- on constant currency basis. And in Asia, 18%. So we're still seeing good growth in terms of our volume, but we are seeing challenges as that translates back into U.S. dollars. So I think, for example, if we get into Brazil, the World Cup should, hopefully, benefit us as you get some more people going down. And realistically, we have in some of the markets we serve, like Food + Beverage and Pharma, we're still a relatively small player so I think we have good potential ways to grow in those markets. But maybe I'll let Bob touch a little bit on the currency issue because that is an impact for us.
Robert W. Kuhn: Sure. So if we just look at the Brazilian real and the Argentine peso, which is probably our 2 primary markets down there. Just in the fourth quarter alone, Q4 to Q4, the real depreciated about 10% compared to the dollar, and slightly more compared to the euro. And the peso devalued 21% quarter 4 to quarter 4. And as you've been following the news, it's continuing to slide even further. So if I look forward into Q1, if I compare where rates are today compared to Q1 last year, the Brazilian real is down about 16% compared to last year Q1 average, and the Argentine peso is down about 36%. Also, Mexico, which is also a market for us down there, is about 4.5%. So you can see the depreciating currencies, how that will impact some of our, just on a translation side alone, will be roughly $1 million. And that doesn't even include any transactions. So to give you a point of reference, there was about 800,000 transaction losses in Q4 in Latin America.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then Bob, I'm not sure if I missed this. But did you give us 2013 full year free cash flow and also, an estimate on '14?
Robert W. Kuhn: We don't really comment on Q4 estimated cash flow. But for the year, if you look at free cash flow, it's about $134 million compared to $140 million in 2012.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: And in terms of '14, that's what I meant, not Q4?
Robert W. Kuhn: That was year '13 compared to year '12. But we don't really project '14 ahead cash flow.
Operator: Our next question comes from the line of Brian Rafn from Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Steve, give me a sense of -- if you look across your businesses, what type of, from the weakest capacity utilization to the strongest, globally? What are you hiring? How much overtime in the different operating segments? Give me a sense kind of CapEx, cash utilization, hiring and then maybe overtime?
Stephen J. Hagge: Let me come back and deal with that, Brian, on a more qualitative basis. If you look today in terms of capacity utilization, we're somewhat down because of sales drop here in the U.S., and that's probably our softest. But even in the U.S., we're seeing some capacity constraints because some of the product lines are doing very well even here. Our biggest challenge today in terms of capacity has been in Europe. We're seeing very good growth in Europe and there, we've been able -- to be able to service our customers or needing to come back and add direct labor. And we're also increasing the efficiencies. In terms of our people, I don't know that we've had any -- again, we've added some people in the U.S. to deal with some of these onetime issues, but I don't know it's significant in the other areas. So I mean, it tends to be -- we move up and down with business on a regular basis.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. All right. And then back to the Beauty + Home, could you break out the fragrance/cosmetic side and maybe talk a little bit about the higher-end premium versus kind of the lower end? And then any color that you can give us on kind of what your experience was with Christmas sales?
Stephen J. Hagge: Well, I think, overall, our customers, and again, this is more qualitative rather than quantitative. Our customers, as I said, I think, Christmas was a pretty good season for them, not a great season but a reasonable season. So if you look at our beauty sales in the fourth quarter, we were up 6%. So overall, our 6% growth, I think, is at or above kind of market averages. Within that, that's been positive both on the lower end of the market and the upper end. And keep in mind on the lower end when you look at Latin America, for example, which a lot of people would consider more middle, that's been a very strong growing component for us. So I think we've done well across all of those. We track very closely our new product introductions from our customers on the high end, and we continue to be the market leader on all of those introductions. And as I pointed out, lastly, our new sampling in terms of the sampling side in our fragrance has done very well, and we had a very strong fourth quarter in that area.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: And then just finally on the -- and some of your -- conversations you've had about the new business product launchings, are you seeing any trends, national launches, international launches versus regional products, the sampling sizes that you're launching, hundreds of thousands, millions, what's kind of the trend that you're seeing in the new product area?
Stephen J. Hagge: I think it's going to depend, frankly, on that one, Brian, on the market. In the beauty market we're seeing, again, probably more global launches going back to that side, particularly on the prestige. Personal care tends to be more regional, Europe, U.S. And if you get into the food side, it is very much regional because the products are different. So it depends on the side. The biggest -- I think, the biggest difference over probably 3 years ago is beauty is moving to bigger product introductions on their big brands. So they're doing more worldwide introductions.
Operator: Our next question comes from the line of Chris Manuel from Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Just a couple of questions. First, kind of a maybe an easier one for you, Bob. When you look at the tax issue for 4Q, obviously, that's something that's going to be recurring now for -- on a go-forward basis. How would we spread that back across the quarters? I mean, $0.10 was the whole hit here. Is it kind of pro rata across the quarters or how would I think about that?
Robert W. Kuhn: It's difficult to say without getting too much into the technical side. I think you can use roughly a pro rata 2% to 2.5% in each quarter, might be slightly higher than that. But in terms of cents, $0.02 to $0.025 is what we'd be looking at.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That's helpful. And then, Steve, I recognize Nasacort is just one of hundreds and hundreds of drugs you've got in the stable that you're providing dispensing systems for. But what's been your traditional experience as you've seen something go from -- I think we've spoke in the past about what it's like when one goes to generic, but what happens when one goes from script to over-the-counter? Is there typically kind of a 2x or 3x that penetration can improve? Or how will -- what's typical?
Stephen J. Hagge: Well, it's a good question, Chris. Because, frankly, this is the first time in our product space we've seen one of the products move from prescription to over-the-counter. So I think the interesting issue, and I think this is an important point, a lot of times when we talk about this, people have made the incorrect assumption that the regulatory would change. What's important here is regulatory still applies even when it goes over-the-counter, which is really one of the key reasons why we're still on that product. Our view is right now, it's going to be difficult to see what happens long term. It's hard for us to view that. But short term it's certainly a positive because if they start to come back -- I've just seen this now, we're starting to see this show up in some of the drugstores, Sam's Club has now introduced this. So we're going to see some market penetration, and I do think you may see other customers doing the same thing over time.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: That's interesting. Yes, maybe it's something we'll check back in on in a couple of quarters to see how it's going. Last question I had was when you think about capital redeployment for '14, probably nothing materially changing, you're still looking for acquisitions. And maybe any update as to what the market's like? How you're feeling with respect to that? And then, I guess, just anticipate balance for share repurchase and dividends, is that fair?
Stephen J. Hagge: I'll deal with the M&A, and I'll turn it over to Bob on the share repurchase and the dividends. But essentially, what you said, we're continuing on the same path we've been at. As you know there's been certain different properties coming to market. We continue to evaluate those to see if they make sense for us. So I would say that the number of things available for sale is probably up. Getting transactions done is taking some more time. But again, I would say the M&A environment today is reasonably positive with the one negative that prices of property seem to be moving up. So in terms of share repurchase, Bob?
Robert W. Kuhn: Yes. I mean, from what I can say today, Chris, I mean, I really can't say anything different than what we've talked about. We continue to look at it -- it is an area we're spending a fair amount of time looking at to get to the right solution. But in terms of what I can tell you, there's nothing different than we'll continue to balance both the dividend and the share repurchase in the short term, but it's an area that we continue to look at.
Operator: Our next question comes from the line of Alex Ovshey from Goldman Sachs.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: Steve, I have a couple of questions. Very strong margin performance in the Pharma business. I'm curious if there's an update on what you think the medium- to longer-term margin outlook could be for your Pharma business?
Stephen J. Hagge: Alex, I think the good news is you can see, even through the year for us in '13, we've seen margins fluctuate within the range. We're still very comfortable that it's between a 23% and 28% margin for us, and that will be depending on volumes and product mix, et cetera. So I think it's a strong product mix. I think Stelmi has continued to help that. But we're staying with, I think, where we've been in the past, at that 23% to 28% margin target.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: Got it. And then can you talk about what resin price assumption you currently have in your first quarter outlook? And whether you think it will have any impact on the results in the quarter?
Stephen J. Hagge: Again, I think, let's take resin because I want to approach resin from 2 parts. There is no question that resin, particularly here in the United States, has moved from -- up from the fourth quarter to the first quarter. If you went back to the last year in early '13, that same occurrence happened. So we're passing those resin increases on in the second quarter. So there's a negative impact between the fourth and the first. But if I compare first to first, it's a much more comparable side. So it's kind of a 2 ways to look at it, Alex. In any case, our process of passing the costs through is identical to what it's been. We pass those through as soon as we can both up and down in terms of resin pricing.
Operator: Our next question comes from the line of Chip Dillon from Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners, LLC: I've noticed with the strong operational and stock price performance there's been quite a bit of options exercise activity, and I just wondered how that might change going forward just from the standpoint that it looks like in the last couple of years, roughly 1/4 of the free cash flow has been used to kind of offset the -- to augment the money coming in from the exercises. And would you -- I mean, obviously, it's a function of the stock price. But could you talk a little bit about how you view the equity component of compensation and how far deep in the organization it goes?
Stephen J. Hagge: Well, the equity compensation is a critical part of our overall long-term compensation. So you're right, in terms of share price, as it goes up, you do get a little bit more acceleration. But I think there's a couple of key aspects when we look at options for Aptar. And I think it's a bit different than the outside. One of them is the length of time. If you look at our footnotes when you get to the 10-K of last year, our people are holding the options almost 7 years on average. So it is really viewed as a much more of a proxy to the long-term market, and I think that will continue. People have a strong feeling about where Aptar's stock is going. In terms of the stock price and the dilution, you're going to always get fluctuations. But from what we've looked at, there hasn't been huge changes in terms of the number of options being exercised from year-to-year. And in terms of the scope of the people, we go down probably to around 200 to 250 people in terms of getting options and it goes down reasonably far to our management group, and maybe a little bit more than that through the organization.
Chip A. Dillon - Vertical Research Partners, LLC: Got you. That's very helpful. When you look at the tooling -- I guess the segment for food and beverage, it looks like the tooling component must have just been way outsized versus what's normal. And given that, should we expect that to be kind of a precursor to -- you would think to higher product sales and maybe some acceleration in that segment in '14 and maybe '15?
Robert W. Kuhn: I mean, we've had some pretty consistent high tooling sales if you look at in the Food + Beverage market. That is one area that we have seen. The answer to your question, can you see an acceleration? We'll see increased volumes typically from the tooling sales that we sold in the coming quarters. But again, you're also lapping up against other tooling sales that occurred last year in the beverage market and whatnot. So it is a good -- we view it as a positive, overall. And as Steve mentioned, we continue to get into different categories, both in the food and the beverage side of things. So for us, it's definitely a good indicator for us. But it's difficult to really say that it's going to go up any higher than what we've been currently running at.
Stephen J. Hagge: And one other thing on that, Chip, that I -- to go back and because I agree with Bob very much on what he said. And I think it's also important to take food and beverage as a total for tooling. So while we had a huge increase in the fourth quarter, if you look on a year-to-date basis, we're up about 1% on a year-over-year basis. So the challenge with us in tooling as you've seen with our results, they tend to be choppy from quarter-to-quarter.
Operator: Our next question comes from the line of Todd Wenning from Morningstar.
Todd Wenning - Morningstar Inc., Research Division: What medium-term impact, if any, might this week's news about the Coca-Cola, Green Mountain partnership and the small but growing at-home beverage preparation industry have on Aptar's Beverage business?
Stephen J. Hagge: It's going to be difficult to say. The one thing I can tell you is that, certainly, as we look of our customers in the Food + Beverage side, that at-home or single-serve, even more importantly, is a key issue. The dispensing systems around that are critical to how those products perform. So I can't talk on any specific projects that we're working on, but I can tell you that there's a lot of interest in our customers around this whole area.
Todd Wenning - Morningstar Inc., Research Division: Okay. Great. And what have you learned about the Latin American markets since breaking ground on the new facility there?
Stephen J. Hagge: We've learned that currencies continue to be very volatile, it's probably the biggest issue. I think, though, that despite that, I think it's important that when you look at our business in Latin America, volume growth for us continues to be strong double-digit growth. And the new business that we have in Colombia, our customers in that region, outside of their sales into Venezuela, which have had the biggest impact, continue to do well. So I think it's more -- and this is something if you -- in those markets you have -- it's a challenge dealing with currency day-to-day, but it is something that we've been doing for the last 20 years, so challenging, but still we view it as good growth markets.
Todd Wenning - Morningstar Inc., Research Division: Great. And this is probably a question for Bob. With the dividend payout ratio of around 35% on an adjusted earnings basis, should we think about that being near the high end of your comfortable range or should -- would you be more comfortable with even a higher payout ratio?
Robert W. Kuhn: We look at that, every year, Todd. We also try to look at it internally from a projected earnings perspective to see where we would be for the year, looking back at the earnings for the year. And then that's something that we'll discuss with the board and make recommendations on how much and when to increase.
Operator: Our next question comes from the line of Greg Halter from Great Lakes Review.
Gregory W. Halter - LJR Great Lakes Review: On the Stelmi side, is there any update on some of the new fields that they've been looking at, like eye care, vaccines, heparins, veterinary and so forth?
Stephen J. Hagge: Well, we continue to work on that. There's not as much on the eye care side. On the heparin issue there is certainly, that is a syringe-based product. So there's areas we work. I would tell you that in terms of sales in 2013, there's not much sales into those markets other than what historical Stelmi has done. We have several interesting projects we're working on that I think will favorably impact 2014, '15, et cetera. But not significant impacts so far in '13.
Gregory W. Halter - LJR Great Lakes Review: Okay. And what was Stelmi up on a year-over-year basis '13 versus '12?
Robert W. Kuhn: Well, if we look at a pro forma, and again, we only have 6 months in our '12 results. But if we were to take a look at what they had '12 for the full year versus '13, it's up around 15%, 16%.
Gregory W. Halter - LJR Great Lakes Review: Okay. And on the BAP business, besides the orange juice, what else? I think Perrigo has an infant formula and maybe fruit juice? But are there other applications that are being used on that, that you can discuss?
Stephen J. Hagge: The biggest -- I think, you hit on the 2 biggest ones today. So it's relatively, in terms of Aptar's $2.5 billion of sales, still relatively small, but really 2 key products: one, the infant formula with Perrigo; and Tropicana with the orange juice. So we're working on several new applications around that, outside of those 2 markets. And I think the other thing, Greg, for us that's encouraging is, we're starting to look at applications in the consumer health care market, even in the personal care market and cosmetics because of the sealing capabilities here. So we're excited about the technology, but it's still early and that's still -- and that's one of the reasons we're adding people to make sure that we can continue the development on that side.
Gregory W. Halter - LJR Great Lakes Review: You had mentioned that might have been from a very low base, like triple-digit percentage year-over-year increases?
Stephen J. Hagge: Well, again, I want to be careful on -- low numbers are low numbers. So we've had good growth. Again, we got into the baby formula for the first time in '13 so we went from 0 to something. So that's a positive. But again, I would -- my reaction has always been, I think the technology has good -- is a good technology and I think bodes very well for Aptar in the future.
Gregory W. Halter - LJR Great Lakes Review: Okay. And a couple of housekeeping items. What was the cash flow from operations either for the full year or for the quarter?
Robert W. Kuhn: I can give you both, Greg. Cash flow from operations for the full year was $285 million and cash flow from operations for the quarter was $91 million.
Gregory W. Halter - LJR Great Lakes Review: All right. And what were the capital expenditures for the year?
Robert W. Kuhn: Capital expenditures for the year were $152 million and for the quarter they were $41 million.
Operator: [Operator Instructions] Our next question is a follow-up question from the line of George Staphos from Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: One last question for me to finish up. In Beauty + Home, realizing that it's mostly a volume issue in the U.S. as you see it. One, what outlook are your customers giving you about the potential for there to be a pick-up in '14 vis-à-vis new product introductions, promotions that you perhaps know are going to be run? And then the related question is, you mentioned that there's been also some pricing pressure, it's more of a volume issue, but where have you felt more of the pricing pressure? I'm assuming it's mostly in the U.S., though, within the U.S., if that's a correct assessment, which end markets are you feeling most of the pressure?
Stephen J. Hagge: Again, on the Beauty + Home side, I think if you look at the U.S., we are seeing some increase in volume in terms of expectation. The other thing I don't want to underestimate is we have some operational issues we've got to get better on in the States. So we got both of those that we need to be working on. When you look in terms of the pricing pressure, I think U.S. has probably been larger. But what we have seen on that, both in the personal care and beauty and fragrance side of our business, is that we've been taking a look at doing more long-term contracts with some of our key customers. And as a result, getting volume commitments over a longer period and giving a little bit up in price. So we kind of balance those. So those are the 2 key issues for us.
Robert W. Kuhn: George, I just want to add one other thing and oftentimes, we don't think of it as pricing pressure, because when we think of pricing pressure, we think of price decreases. But going back to what I was mentioning in Latin America, with the depreciation of those currencies and the amount of imports that we're bringing in, our costs are going up in those areas and you're seeing inflation starting to be a significant number. So we'll go out with price increases, but I would say there's pricing pressure there as well on our customers to limit what that is. So it's a balance between how fast the cost structures, if you will, in those inflationary environments are going up, and how much of that and how quickly we can pass that through. So when we talk about pricing pressures, I would also throw that in on the upside.
George L. Staphos - BofA Merrill Lynch, Research Division: That's helpful, Bob. So basically, you're seeing a transactional loss as you're mentioning earlier because you're bringing that product in and you've got prices, basically, on a local basis that are, at this juncture, coming down because of the currency, would that be fair?
Robert W. Kuhn: It's not just prices are coming down, but if you look at inflation, in general, I mean, you're up 20%, 23% in Argentina alone. So you've got wage inflation, you've got the transaction side of us bringing either components or finished goods coming in. That's more tied to the currency side. And then it's the push on our side to pass both of those on to the customer. And it's tough when you're passing through both currency and inflationary side to the customers. So it's more that than anything else.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. And in the U.S. it sounds like the issue is really more a mix of how you're -- going to market is not the right term, but how you're trying to lock up more volume longer term and less competitive activity. Would that be fair? And if that's true, why are you trying to lock up more volume longer term? Is it an acknowledgment of, in fact, maybe there is a little bit more competition than would have been the case, say, 5 or 10 years ago?
Stephen J. Hagge: Again, first of all, I think we've always been trying to lock up volume long term. I think it works well for us in introducing new products. Again, I think there's probably more of that in Europe today than actually in the States. And I think our challenge in the U.S. today, again, is a little bit on trying to get more volume through to use more effectively our operations. And also, frankly, we got to improve our efficiencies here in the United States. So we've got a combination of those.
Operator: Our next question is a follow-up from the line of Chip Dillon from Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: I apologize, I missed the 2013 CapEx number. And then, as you answer, could you also give us an idea of -- of course, considering no acquisitions or changes like that, what do you think directionally we'll see happen in 2015?
Robert W. Kuhn: On the CapEx, you mean?
Chip A. Dillon - Vertical Research Partners, LLC: Yes.
Robert W. Kuhn: Okay. So first of all, CapEx for 2013 was $152 million.
Chip A. Dillon - Vertical Research Partners, LLC: Yes.
Robert W. Kuhn: Okay. And so your question was in absence of acquisitions, what would we see CapEx being in 2015 or 2014?
Chip A. Dillon - Vertical Research Partners, LLC: '15.
Robert W. Kuhn: '15. It's difficult to say. I mean, really, I mean, this year, in '14, we've got the bump-up of the $26 million on the Stelmi capacity, but it's tough right now to sit here and say, do we have another one-off capacity expansion or facility expansion at this time. Again, like we said before, I mean, we typically target at or around depreciation and amortization, and then we'll play with it from there depending on the projects that are in the pipeline, the growth prospects and things like that. So we're too early on right now to make a guesstimate. I mean, $190 million is what we think for '14, but it would be too soon for me to even try to guess what '15 would be.
Operator: And our next question is a follow-up from the line of Chris Manuel from Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Just one quick follow-up related to CapEx-oriented stuff. So I recognize, to your point, this year, it's going to be a little elevated because of, I think you've called out $25 million, $26 million for the Stelmi expansion, but -- and I also appreciate you've got a plethora of projects. But could you kind of maybe highlight specific areas or product components and pieces that you're concentrating the bulk of your other capital on, maybe it gives us a sense as to where you're anticipating growth the next year or 2?
Robert W. Kuhn: I mean, well, it's hard to give you a specific area that we're focusing on. But let me highlight a couple of things in general. First of all, we have very high return on invested capital from what we're investing in. So if we see good opportunities out there, whatever product line that may be in or whatever segment that may be in, we're not going to shy away from those good return possibilities. A lot of what we're spending is to industrialize some of the innovation that we've been talking about and working on for the last several years. But there's also a fair amount of, I would say, continued localization of production in emerging countries. So we continue to invest more, I would say, disproportionately more capital compared to the size of those regions there, really, to help offset some of the things that we're talking about here in terms of transaction cost and whatnot. And then there's always going to be that element of maintenance capital that we have to deal with. And that is both facility-related, equipment-related, replacement of molds and things like that. So that's really about all I can kind of give you in terms of where we're focusing.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That's helpful. One last follow-up there is, I think in the past we've talked about maintenance CapEx levels being probably in that 75% range? Is that still accurate or has that stepped up with some of the...
Robert W. Kuhn: It's a little high, Chris. I mean, we would -- the way we would tend to look at maintenance it's probably more in that 50% range. But even then, at 50%, we're not typically investing like for like. So I mean, we're investing in newer technologies, so if we're replacing an assembly line, for example, we may be replacing it with higher output or whatnot. So while it's a maintenance capital item, it's also partially a capacity increase, if you will, or cost reduction in there. But 50% is, I'd say, more a realistic number on how we would consider maintenance capital.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Mr. Hagge for any closing comment.
Stephen J. Hagge: Thank you, Jonathan. This concludes our call today and I'd like to thank everyone for joining us. Goodbye.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.